Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Alexion Pharmaceuticals, Incorporated First Quarter 2020 Conference Call. At this time, all participant lines are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  At this time, I would like to hand the conference over to Mr. Chris Stevo, Head of Investor Relations.
Chris Stevo: Thank you, operator. Good morning. Thank you for joining us on today’s call to discuss Alexion’s performance for the first quarter of 2020. Today’s call will be led by Ludwig Hantson, our CEO. Ludwig will be joined by Aradhana Sarin, our Chief Financial Officer; John Orloff, our Global Head of R&D; and Brian Goff, our Chief Commercial and Global Operations Officer. I will note that we are practicing physical distancing, and each will be doing the call from home. You can access the webcast slides that will be presented on this call by going to the Event Section of our Investor Relations page on our website. Before we begin, I would like to point out that we will be making forward-looking statements, and these statements involve certain risks and uncertainties that could cause our actual results to differ materially. Please take a look at the risk factors discussed in our SEC filings for additional detail. These forward-looking statements apply only as of today, and we undertake no duty to update any of the statements after the call, except as required by law. I’d also like to remind you that we will be using non-GAAP financial measures, which we believe provide useful information for the understanding of our ongoing business performance. Reconciliations of our financial results and financial guidance are included in our press release. These non-GAAP financial measures should be considered in addition to, but not as a substitute for, our GAAP results. Thank you. Ludwig?
Ludwig Hantson: Thank you, Chris. And good morning, everyone. Before we review our first quarter performance, I’d like to take a brief moment to discuss COVID-19 and Alexion’s response to this global health crisis. Above all, we remain committed to our mission of serving patients affected by rare and devastating diseases. We are focused on serving the patients who rely on us for the delivery of secure, uninterrupted supply of their medicines. We have taken proactive measure provide to mitigate risks and supply, and continue to actively monitor the evolving situations worldwide. We’re doing our part to protect ourselves and those around us by being smart in our interactions to minimize risk of spreading the virus and placing a additional burden on our health care systems. Patients, families and health care providers are at the front of our mind as we work to support them through new, innovative and virtual means. In addition to patients, we also remain committed to protecting the safety and well-being of our global employees. As of early March, we have largely shifted to remote operating model for all non-essential employees. Essential on-site staff, including those in R&D and manufacturing continues to report to work sites, where we are taking all appropriate precautions. The transition to this new remote reality has been largely seamless. I’d like to thank our global employees for their continued hard work towards our mission.
Aradhana Sarin: Thank you, Ludwig. Starting with slide eight, we reported first quarter total revenues of approximately $1.4 billion, an increase of 27% year-over-year. We are incredibly pleased with the momentum we saw over the quarter, which was driven by strength in our neurology franchise, continued growth in the core businesses and volume growth for our metabolic business. Our non-GAAP operating margin was 62%, an increase of 424 basis points versus prior year, driven by the strong performance we saw on the top line. Non-GAAP EPS was $3.22, representing 35% growth year-over-year, also driven primarily by strong top line growth. Moving to slide nine. First quarter total net product sales were primarily driven by patient volume growth across all of our key markets. Turning to slide 10. SOLIRIS revenues in the first quarter were approximately $1 billion with year-over-year growth of 6%. SOLIRIS revenue growth was driven primarily by NMOSD and gMG revenues, partially offset by ULTOMIRIS conversion dynamics in PNH and atypical HUS. ULTOMIRIS revenues in the first quarter were $223 million, including contribution from the US launch in atypical HUS. Total C5 revenues increased 26% year-over-year. Metabolic revenues for the first quarter were $199 million, representing 29% growth year-over-year. Turning to the P&L on slide 11. During the quarter non-GAAP R&D expense was $186 million or 13% of revenues. Non-GAAP SG&A expense was $259 million, or 18% of revenues. The non-GAAP effective tax rate in the quarter was approximately 16%. We reported first quarter non-GAAP EPS of $3.22, growing 35% year-over-year. GAAP earnings per share were $2.50. We ended the first quarter with approximately $2.5 billion in cash and marketable securities. This is not adjusted for the Portola transaction, which is expected to close later this year. Now moving to slide 12. I’d like to provide an update to our 2020 full year guidance. Again, please note that this does not yet include the impact of the Portola acquisition, as the deal has not yet closed.
John Orloff: Thank you, Aradhana. On slide 15, you can see our current development portfolio, which continues to evolve. We now have 19 planned clinical stage development programs for 2020. Later this quarter, we expect to report PK data from our Phase III once-weekly on-body subcutaneous ULTOMIRIS program, which remains on track for a potential launch in 2021. We’ve made the decision to conduct a planned C5 inhibitor Renal Basket study with ULTOMIRIS rather than ALXN1810. And while on the subject of ULTOMIRIS, I’ll also note that we have decided to no longer pursue PPMS as an indication. This decision is based on findings from retrospective clinical and biomarker analysis, which did not support moving forward with this program. With regards to some of the new assets in the portfolio, we expect interim data from the Phase II study of ALXN2040, danicopan, in C3G in the coming quarter. We are excited about the proposed acquisition of Portola announced earlier this week and look forward to providing additional detail on the trials to expand Andexxa’s indication, including the Phase II urgent surgery program after the transaction closes. Turning to slide 16. We highlight the current programs we see on track to launch by 2023 and the potential opportunity each presents. As we’ve heard across the industry, COVID-19 has created headwinds for R&D programs, including some delays in trial enrollment and paused healthy volunteer studies. Despite these headwinds, we have protected and prioritized these programs to help ensure we achieve our ambition for 10 potential launches by 2023. Starting on the left, we are expanding our C5 portfolio well beyond the PNH and atypical HUS businesses with ULTOMIRIS, neurology and nephrology programs, which collectively present an opportunity to expand our treated patient population by tens of thousands of patients. Building on this, we see opportunity to diversify our business beyond C5 with four additional late-stage novel assets. Enrollment is complete in our Phase III superiority trial for ALXN1840 in Wilson’s disease, and we remain on track to have Phase III data in the first half of next year.
Brian Goff: Thank you, John. Turning first to slide 21. We had a very strong first quarter with demonstrated progress in our goal of best-in-class conversion to ULTOMIRIS for PNH and atypical HUS, as well as continued growth in our neurology franchise. As of last week, we’ve achieved greater than 67% conversion of PNH patients to ULTOMIRIS across the U.S., Germany and Japan, further solidifying ULTOMIRIS’ position as the PNH market leader in our three largest volume markets. This strong performance is due, in large part, to the compelling value proposition of ULTOMIRIS, both for patients and for payers, which is increasing appreciated in light on of the ongoing COVID-19 pandemic, with patients only requiring infusions every eight weeks.  We’ll also further enhance patient experiences with our higher concentration 100-milligram per milliliter formulation, which reduces the infusion time by more than 50% to 45 minutes. We also remain pleased with our early launch in atypical HUS in the US, where conversion remains on track for the same 70% conversion ambition within two years that we set for PNH. And we received the good news last week that the Committee for Medicinal Products for Human Use has adopted a positive opinion for ULTOMIRIS in atypical HUS. So we now expect a final decision from the European Commission in June. Our neurology business continues its growth trajectory with further progress towards our stated ambition of quadrupling our US treated patient population. You can see we exited the first quarter with 2,152 patients on treatment with SOLIRIS for gMG and NMOSD in the US. While we continue our efforts to grow prescriber breadth through continued education on the role of complement in our neurology indications near term, we’re especially focused on driving depth with our current prescribers to continue to expand use in the current COVID environment. With ULTOMIRIS expected to launch in our neurological indication starting in late 2022 or early 2023, we aim to be on market with an every eight week infusion. Additionally, our once weekly on-body subcutaneous formulation will, when it’s approved, provide another important treatment option for patients who prefer self or home-based administration. Turning to slide 22, you’ll see we’ve taken a number of steps as an organization to ensure we continue to serve the needs of patients in today’s COVID-19 environment. In fact, it’s worth noting that many of these efforts were already initiated in our evolving operating model and the current environment has helped us to accelerate our progress. With respect to infusion site of care access for our C5 patients, we’re actively working to mitigate potential disruptions in infusion visits. We’re working to expand access to home infusion and have made significant progress in rolling out this important option to patients. Our US based OneSource case management team is actively engaged in assisting patients with logistics-related to their preferred site of actively. New digital outreach methods have enabled our field teams to seamlessly adjust to the current remote environment and continue making connections with clinical decision-makers, and our teams are actively adopting best practices for virtual engagement. Slide 23 highlights Alexion’s commercial portfolio, both today and in the future, with an emphasis on our growing critical care business. Almost all atypical HUS patient starts and a growing number of NMOSD patient starts occur in the hospital setting. We see this as a distinct advantage moving forward as we continue to plan for diversification of our business including site of care diversification for our patients. With the news earlier this week of our proposed acquisition of Portola, we anticipate that our existing presence in critical care will allow us to support significantly increased utilization and accelerate adoption of Andexxa. It’s important to note that atypical HUS, NMOSD and Andexxa are only part of this growing portion of the business. Our ULTOMIRIS portfolio has the potential to include a number of more acute indications, including HSCT-TMA, as well as complement-mediated TMA. Moving to slide 24. The proposed acquisition of Portola provides us with a unique opportunity to leverage our existing capabilities to deliver potential long-term growth. Andexxa is a transformative medicine for these patients, who would otherwise face devastating consequences, including a significant risk of mortality. Our core capabilities in enabling access provide us with the tools and know-how to unlock growth through access, pull-through and institutional endorsement. In closing, I’d like to take a brief moment to thank our global, commercial and operations organizations for their hard work and dedication, especially during this global crisis, which has allowed us to continue to bring hope to the rare disease patients we serve. I’ll now turn the call back to Ludwig for closing comments. Ludwig?
Ludwig Hantson: Thank you, Brian. I’m very proud of what the team delivered in the first quarter of 2020. I echo Brian and want to thank all employees around the globe for their hard work. Similarly, we also want to thank our employee’s families for their flexibility and support. We recognize the COVID-19 pandemic will have near term and lasting impacts on the way we operate. However, I am confident that despite these challenges, we will continue to deliver on our long term strategy for value creation. Importantly, we maintain our unwavering focus on patients and our commitment to advance our mission to deliver life-changing therapies to people living with rare diseases. With that, we will now open up the call to questions. Operator?
Operator:  Our first question or comment comes from the line of Cory Kasimov from JPMorgan. Your line is open.
Cory Kasimov: Hey. Good morning, guys. Thank you for taking my questions. I wanted to start, just can you provide some more granularity on what’s driving the updated revenue guide in the context of patient conversion versus new patient starts? And in terms of the impact on new patient starts, are there indications that you think are better insulated in this environment? Are you seeing impact across the Board?
Ludwig Hantson: Brian, do you want to take that?
Brian Goff: Yeah. Good morning, Cory. Thanks a lot for the question. And not at all surprising that, that’s the very first question. I think that’s on all of our minds is where do we go from here and what are the dynamics? I’d summarize it this way that in the first quarter, as you saw, we saw relatively small impact on first quarter sales, and that’s thanks to continued strong demand momentum, number one. And number two, the strength of the products, which we know resonate really well with both physicians as well as patients. Just to take a step back. So we – and I mentioned this in the prepared comments that we took proactive action stopping all of our field force activities, the in-person activities in early March, and I’m very proud we did that. It was with a mindset of the safety of our employees, as well as the health care professionals. And so we simultaneously started shifting to virtual digital interaction with customers, number one. Secondly, as I also mentioned, we’ve pivoted and we have quite a nice breadth of prescribers across the different indications. But in a virtual world, the emphasis over indexes into depth. So we’re really trying to focus on those who already have experience and deepen our penetration with those customers. I’ll just note, and this is a really important step that supply has been maintained and our OneSource patient support program, they’ve done a great job just making sure that they’re helping patients navigate the system. To your question about what are we seeing at the patient level, it’s clear that new patient case volume is affected, and that’s both from the patient’s perspective, as well as some of the sites of care have been depending on whether or not they are a real hotspot in COVID, have been more limited in terms of ability to handle patient volumes, so we’ve seen some impacts there. The other dynamic is time to initiation of therapy can also be affected. And we’re in early stages of being able to even properly assess what that looks like. But that’s all been baked into our guidance and our outlook as best we can see. And then another big dimension that we monitor in our diseases because they’re chronic is compliance and persistency. So there is a few puts and takes, and it varies across different diseases as to which of those we think might be more impacted than others. For example, in gMG, it tends to be less acutely symptomatic if the patient were to slow therapy relative to something like PNH, where in PNH we know that in the case of SOLIRIS at the end of the two-week interval, the patient is at risk of feeling symptoms. So that’s a clear advantage of the conversion to ULTOMIRIS going to every eight-week infusion. And we’re going to learn more each week, and we’ll just continue to provide updates as we get more clarity. Hope that helps.
Operator: Thank you.  Our next question or comment comes from the line of Geoffrey Porges from SVB Leerink. Your line is open.
Geoffrey Porges: Thank you very much. So deep down a question on commercial. Could you Brian give us a little bit more color on the proportion of revenue in the US and the proportion that’s commercial? And just talk about whether you’re seeing any uptick in the demand for charitable care, given the economic circumstances? Thanks.
Brian Goff: Yeah. Maybe - I don’t know if Aradhana, do you want to comment on the mix? And then I’ll just say that for charitable care, I get no visibility to that. That’s as meeting the commercial teams that is outside of any of my decision-making or even visibility in that regard?
Aradhana Sarin: Yeah. So I’d say, as you know, about 55% of our business is in the US, and about 20% of that is Medicare Part B. And we mentioned in our guidance that it does include some assumptions around the - some of the shift that may happen more to Medicaid from commercial payers given the rising unemployment rate, so we’ve taken some of that into account. When you look at our operating expenses, clearly, there are some things that we’re benefiting from. So, for example, lowered amount of travel and entertainment and congresses, and we’ve on purpose, delayed some of the non-staff expenses, obviously, there are some R&D delays as well. But on the other side, we’re making a number of investments. As Brian mentioned, on the digital side, we’ve also had an increase in, sort of, expanded access program, compassionate use programs, as well as the COVID study, the COVID ARDS study that John mentioned is also additional expense for this year. So those are some of the puts and takes on the expense side, and we’re trying to do and manage those expenses the best we can without compromising sort of our corporate objective around the 10 launches and the Neuro Code  ambition.
Ludwig Hantson: So Jeff, the - I’m going to put the two questions together. I think it’s fair to say there are three key factors that are driving our new sales guidance. The first one, as Brian was saying, was the new patient starts that we believe is slowing down and a lower compliance, so that’s one. Number two is we do see an accelerated ULTOMIRIS conversion, and you know that it is a pricing headwind for us, although that is our strategy, and we want this to happen, but it’s a pricing headwind. And number three in the US, we anticipated that the payer mix will change since the Medicaid portion will increase because of the - of higher employment rates. So these are the three factors that are driving our new sales guidance.  So we’ll take the next question.
Operator: Thank you. Our next question comes from the line of Chris Raymond from Piper Sandler. Your line is open. 
Chris Raymond: Thanks. Just maybe going to the R&D plans. I was just looking for your 10 - through Q, and it looks like the plan for restarting your FcRn trials, I know you’re talking about COVID impacts on trial suspensions, et cetera. But the FcRn trials looks like they’re not starting until 2021. Can you maybe talk about what the gating factor is there? Is there something outside of COVID that’s driving that push back?
John Orloff: Thank you, Chris. This is John. First of all, I just want to reiterate our commitment to delivering on those 10 launches by 2023. And those programs are on track. We did say that there is an impact on some of the trials that are enrolling to some extent we’re some predicting some delays in the ongoing study, the studies that have the completed enrollment, like 1840 and subcu, we’re on track to deliver on those milestones as stated. With regard to FcRn, it’s a combination of the impact of COVID-19. As you know, we started a healthy volunteer study with a subcu formulation in December. That program had to be paused in the first quarter because of the outbreak of COVID-19. And along with that, we have made a decision to transition from the IV formulation for hemolytic anemia to subcu because of the competitive landscape. The combination of those two things basically delay the re-initiation of both programs to the early part of 2021.
Chris Raymond: Okay. Thank you. 
Ludwig Hantson: Take the next question, please.
Operator: Thank you. Our next question comes from the line of Paul Matteis from Stifel. Your line is open.
Paul Matteis: Hey, great. Thank you so much for taking my questions. Just one on aHUS for Brian. Brian, historically, aHUS has had kind of a more unique persistence dynamic and this kind of balance between chronic versus intermittent therapy. Are you seeing any change with that in the pandemic? And then in terms of new starts, the new starts stem from real medical emergencies and crises. Are you seeing fewer patients actually show up to the hospital with aHUS to get SOLIRIS or is that relatively stable? Thanks so much.
Brian Goff: Yeah. Hey, Paul. Good morning. First, I’ll Just say with a typical HUS and the ULTOMIRIS launch pathway which started at the end of last year and just as a quick reminder that was an early approval. So we were thrilled to get going on that launch following the success we’ve had with ULTOMIRIS PNH. I will qualify by saying that all of the indicators, and I know this will be a theme for discussion is, what are we seeing and hearing in the COVID world, it has error bars around it because we’re all – as a world, we’re learning together what this means. But so far, qualitatively, I am quite pleased with how we’re doing in the US with our ULTOMIRIS atypical HUS launch. In fact, it is essentially on track with our 70% facilitated patient conversion ambition within two years, same ambition that we set for PNH. And you know that we actually move the goalpost earlier for PNH, and we feel really good right now based on our progress at 67% in the US, Germany and Japan. But with atypical HUS, it’s proceeded well. I’ve not heard disproportionate qualitative comments around patients stopping therapy earlier or a profound impact on new patient starts. That’s obviously one of the key areas that we’ll continue to monitor. And the reason I hedge by giving specifics is because everyone knows, it really depends on geography and where patients are in the US and whether or not it’s a COVID hotspot, and even where it to hotspot, both start to go off and then other areas pick up. But all in all, thank goodness, we have, ULTOMIRIS, thank goodness that physicians, patients and payers all recognize the benefits, and we’re well on track with our launch.
Ludwig Hantson: We’ll take the next question please.
Operator: Thank you. Our next question or comment comes from the line of Geoff Meacham from Bank of America. Your line is open.
Geoff Meacham: Hey, guys. Thanks so much for the question. Brian, just a follow-up on the COVID impact question. I was just curious, if you see much in the way of stable patients taking a holiday or maybe extending the time between infusions. You mentioned some variance among indications. But just curious if there are lessons to be learned of what’s worked and what’s not worked across different geographies. And then real quick, John, just with the ongoing Phase III of ULTOMIRIS and COVID-19 patients. That’s in process, but wondering if you could share any anecdotes from your early experience in patients. Thanks
Brian Goff: Yeah. Good morning, Geoff. I’ll start. So good question. And from a patient holidays, again, we’re kind of early days in the whole COVID dynamic. So that from a temporal basis, will take some time to really monitor. It is one of the key things that we’ll be looking at with persistency and overall compliance. But I think for us, in all the elements that were baked into the guidance, Ludwig and Aradhana have highlighted. The key that we have already seen some impacts early on, maybe not surprising anybody is new patient case identification, number one? And then the second one is when case is identified, the timeline that it takes from that case to initiation of therapy is what’s on the more fragile edge of rare disease treatments. From a compliance and persistency perspective, as I mentioned, or as you described it, Geoff, drug holidays, for patients. We’ve not yet seen any kind of profound impact. But again, it is one of the places that we’ll be monitoring. And frankly, doing our best through things like the OneSource patient support system to help patients get the right education, navigate through their therapy. If they had, for example, a disruption site-of-care, we don’t guide where patients go, but the OneSource team does a fabulous job of helping the patients navigate through those kinds of dynamics.
John Orloff: Hey, Geoff. This is John. With regard to your question on the Phase III study. First of all, I want to thank the R&D team and the broader cross-functional team for jumping on this really quickly, really finalizing the protocol and getting this study underway in two months’ time. And this began with our evaluation of the scientific rationale and the preclinical evidence that there is a role for terminal complement in the mediate  inflammation and perhaps thrombotic coagulopathy that exists in some of these patients, and the potential to intervene with a C5 inhibitor. We have a capacity HUS  program that Ludwig mentioned, 100 patients treated, and through that experience have anecdotal evidence that is encouraging, although it’s not controlled in any way, which underscores the need for us to proceed with a randomized controlled trial. And so that’s underway imminently, and we’re looking forward to get any results from that study.
Ludwig Hantson: Take the next question, please.
Operator: Our next question or comment comes from the line of Mohit Bansal from Citigroup. Your line is open.
Mohit Bansal: Great. Good morning and thanks for taking my question. Hope everyone is staying safe out there. Regarding neuro growth ambitions, just curious on how do you factor in the upcoming emergence of FcRn antibodies? What kind of risk do you see to your SOLIRIS, ULTOMIRIS business due to that? And is it possible that C5 franchise gets confined or a niche or a very sick patient population due to FcRn and especially subcus? Thank you.
Ludwig Hantson: Well, Mohit…
Brian Goff: Go ahead, Ludwig, sorry.
Ludwig Hantson: No, no, you go first.
Brian Goff: Yeah, maybe I’ll start on that one, because it really points towards - you mentioned FcRn. And with neurology, obviously, we see that as a key growth opportunity. Looking back 2.5 years now that we’re that we’re in the launch, we did not exist in neurology 2.5 years ago. We’ve already communicated multiple times, actually, that that has, in 2.5 years, become the largest volume - patient volume aspect of our business in the US. We supplemented the work that we’ve been doing with gMG last year with our NMOSD launch. And I think everyone knows that we put forward a pretty bold ambition at the start of this year saying we see an ambition pathway to getting to four times the patient volume that we have in the US - or that we ended in the US in 2019 when we get to 2025. And that will be - I mean, just think of if we achieve four X, how significant that will be for our business, but certainly for patients. Now with respect to new potential competitive entrance, this is a pretty large patient volume arena. In gMG, 60,000 to 80,000 patients in the US, and with SOLIRIS, we operate on the severe side of that spectrum, 6,000 to 8,000 patients roughly. So that is - you could it a niche, but it’s not a small niche, actually. And its one that is unique is unique competitively, we believe. And then with ULTOMIRIS, thanks to the work that John and the R&D team are doing with the ongoing trial in gMG. We’ve opened up the aperture such that there’s not a restriction as we had in the SOLIRIS regain trial for patients who have failed on immunosuppressive therapy. So, we see that opportunity opening up from perhaps 6,000 to 8,000 patients to roughly 20,000 patients. But again, that’s all on the more moderate to severe side of the spectrum. The new entrants that we see potentially coming in will disrupt first-line therapies, immunosuppressive therapies, corticosteroids, things that, frankly, have been around so long and are unlabeled, they need to be disrupted. And then the question will be what happens when those fail, and that’s where having a suite of SOLIRIS and ULTOMIRIS, we believe will be critically important with our neurology growth.
Ludwig Hantson: Yeah, I don’t have anything else to add to that, so we’ll take the next question.
Operator: The next question or comment comes from the line of Phil Nadeau from Cowen & Company. Your line is open. 
Phil Nadeau: Good morning and thanks for taking my question and congrats on the progress. Just one follow-up on COVID, then a pipeline question. On COVID, a number of other companies have noted a pull forward of orders into Q1, particularly in ex-U.S. territories ahead of COVID. You didn’t call anything out in your numbers. Did you see any pull forward of orders, particularly in Europe, where it looks like you had a bump in revenue. And then second, just on yesterday’s acquisition in Andexxa. There was a big change in utilization in Andexxa in Q4. Based on our math, revenue per stock hospital went from like $60,000 to $45,000, and that caused a lot of controversy among Portola shareholders. Do you have any understanding of what happened in Q4? And how would you plan to reinvigorate utilization once Andexxa is in your hands? Thanks.
Ludwig Hantson: Yeah. Aradhana, do you want to start on the first one?
Aradhana Sarin: Yeah. So maybe on the first one. We didn’t call our specifically, but we have seen some amount of inventory pull-through in the first quarter, it wasn’t obviously a huge number, but we have seen some stocking in the first quarter, as you mentioned. In terms of the Portola acquisition, we mentioned yesterday, I think there is a lot of factors which, maybe, we think we can do a lot better on it, and Brian’s going to talk about them in a second. But a big factor of that needs to be – is around asset. And that’s where we think we can play a really critical role. Brian, I don’t know, if you want to expand on sort of our commercial strategy and why this is such an excellent fit for us.
Brian Goff: Yeah. I mean - thanks for the question, Phil. I guess we could articulate what we had heard from Portola, as they characterize the dynamics in the fourth quarter. And a lot of that had to do with the fact that there was Gen 1 products still in the channel, and there was a return of that product. And there were some continued demand dynamics as well that they spoke to. The levers that we believe will be critically important have to do with a combination of access. And for those who had dialed in for yesterday’s discussion, access is a critical element for any launch, particularly when you’re talking about penetration of institutional settings, it’s multidimensional. So one is, you got to make sure you’ve got product on hand for an acute condition like this immediately available. Two is that, these are funded through DRG, hospital payment dynamics. And there, there are mechanisms like NTAP and awareness of NTAP, as well as the implementation of that coverage to help out with the gap in DRG payment. There’s also the importance of society guidelines, which now there’s 19 medical societies around the world that have supported the use of Andexxa. That’s critically important. And then very recently in March, there’s new, very important health economics and outcomes data that’s been published that shows a 57% reduction in 30 day all-cause mortality. So we will look to really make use of that as an access lever. But the other dynamics are, you’ve got to have a key opinion leader as a champion who really endorses the product and the institution, and that becomes important when the moment of formulary protocol decisions are made. And then, of course, there’s just underlying demand generation. So, those three combined levers is where our focus will be.
Ludwig Hantson: So we’ll take two more questions.
Operator: Our next question or comment comes from the line of Robyn Karnauskas from SunTrust. Your line is open.
Robyn Karnauskas: Hi, guys. Thanks for taking my question. I just want to touch on the high dose patients that were on high dose SOLIRIS, more frequent SOLIRIS. We’ve been hearing from - for a while now a lot of KOLs haven’t switched those patients, because they believe there wasn’t specific data from the ULTOMIRIS trial, and they’re high revenue-generating patients. Given COVID, are you seeing any – in general, pre or prior to COVID, what percentage of those do you think it’s switched roughly and has that changed? Have you seen acceleration of switch to ULTOMIRIS in those patient populations, given the frequency they’d have to go and see their doctor? Thanks.
Brian Goff: Yeah. Good morning, Robyn, it’s Brian again. Interesting question. And so we may not have the granularity that you’re looking for, for very specific patients and what dose that they were on. But I will say, and it is interesting with COVID that there are many things that are real challenges, not just for our business, but for the whole industry. But for our product portfolio, it has been interesting that we’ve seen an acceleration actually in some of the hotspot areas of ULTOMIRIS conversions. And the reason for that may not be surprising to most that you’re moving from SOLIRIS every two week infusion to ULTOMIRIS every eight weeks. And that is obviously great for the patients as a burden of drug delivery for them, but it’s been really helpful for institutions that have infusion centers. And so it has been interesting that we started to see the green shoots of that kind of acceleration occur even in some of the more challenged parts of the country.
John Orloff: And Robyn, this is John. If I could just add, while the Phase III program didn’t specifically study patients who had to up titrate on SOLIRIS into the program. We did have a very large - the largest that’s ever been conducted naive study with nearly with nearly 250 patients. And so if you estimate that 10% or maybe a little more than that, of those would have required a higher dose of SOLIRIS, we know that all of them were adequately controlled with complete sustained C5 suppression throughout the study in the ULTOMIRIS treated arm with no excursions above the threshold. So we’re pretty confident that we’ve nailed the dose in the dosing regimen, and then we have those patients covered. But again, they would have been part of the study in the naive study covered with ULTOMIRIS.
Ludwig Hantson: Yes, we take our last question.
Operator: Our final question comes from the line of Matthew Harrison from Morgan Stanley. Your line is open.
Matthew Harrison: Great. Good morning. Thanks for taking the question. I was hoping, I know you’ve touched on some of the commercial dynamics. But could you just maybe provide a little more detail, what the impact is of slowing new patient starts versus, I guess, let’s call it, less persistence or people skipping or extending new doses and then the impact of, let’s, I guess, a mix shift to either more Medicare or less commercial patients? Thanks.
Brian Goff: Yeah. Aradhana, do you want me to start?
Aradhana Sarin: Yeah. You go ahead.
Brian Goff: Sure. Good morning, Matthew. There are a couple of dynamics that you’ve already, actually three, that you highlighted. And so for compliance and persistency, we haven’t quantified, but I will qualify, and this is perhaps easy math to do. When you talk about impacts on compliance, we’re really looking at the entire base of our patients. So if there were an impact, that is one that on a relative basis would play out more significantly for the business, and that’s why that’s a key focus for us. But I mean, it’s a focus for us for the business, but it really is because these are rare diseases that need patients to stay on therapy. So we’re doing all that we can appropriately to make sure that we’re supporting them in that journey. For new patient starts, that’s the growth side of the equation, and it’s one that has a lag effect, obviously, when we would start to see that impact our business. So we have seen some impact on new patient starts, as I mentioned, as well as time to initiation on therapy. Aradhana has spoken about how that’s all been worked into our best awareness right now and guidance. There are error bars around that, of course, and we’ll continue to monitor. But I would say from the new patient start side, that is one it could be more of the 2Q, 3Q dynamic relative to compliance. Aradhana, anything you wanted to add?
Aradhana Sarin: No, that’s good.
Ludwig Hantson: Excellent. So just a couple of closing remarks. I think you all saw that we started the year with a very strong momentum, 27% sales growth and I really want to thank all the Alexion employees for their hard work. We are very proud of all of you. COVID-19 is slowing us down. There’s no question about that, but we still expect to grow for the year to go, and we plan to go back to steady state after that. As we discussed, our long-term ambition of double-digit revenue growth, 10 launches by 2023, quadrupling our US neurology footprint, those ambitions have not changed. So we believe we have a very strong, durable, sustainable business with a very strong strategy and very strong execution. So I want to thank all of you for dialing-in. Have a great day everybody and stay safe. So thanks, everybody.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone, have a wonderful day.